Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Sherritt International Corporation Q1 2025 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. I would like to remind everyone that this conference call is being recorded today, Wednesday, May 14, 2025, at 10:00 a.m. Eastern Time. I will now turn the presentation over to Tom Halton, Director, Investor Relations. Please go ahead.
Tom Halton : Thank you, operator, and welcome, everyone, to Sherritt's first quarter 2025 conference call. We released our first quarter results last night. Our press release, MD&A and financial statements are available on our website and on SEDAR+. During today's call, we will be referring to our presentation that is available on our website and on today's webcast. As we will be making forward-looking statements and references to certain non-GAAP financial measures, please refer to the cautionary notes on Slide 2 of our presentation as well as the material assumptions and risks associated with certain forward-looking statements and reconciliations of non-GAAP measures to the most directly comparable IFRS measures included in the appendix of the presentation. On the call today is Leon Binedell, President and Chief Executive Officer; Yasmin Gabriel, Chief Financial Officer; and Elvin Saruk, Chief Operating Officer. Following the review of our results, we will open the call to questions. I will now pass the call over to Leon.
Leon Binedell: Thank you, Tom, and good morning, everyone, and thanks for joining us. I'll be starting on Slide 4 with a summary of developments during the quarter that led to the price volatility in nickel and cobalt markets. To start the year, nickel prices climbed on reports that Indonesia was considering cutting the nickel mining quotas for the year to 150 million tonnes, a sizable year-over-year decrease. In late January, the 2025 quarter was announced with a significant year-over-year increase, causing nickel prices to trend lower. The following month, in early February, reports emerged indicating that the Philippine government was considering banning nickel ore exports. Again, the rise nickel price was short-lived after it became apparent that the potential ban would not take effect for at least five years. While government interventions have yet to provide any sustained support for nickel prices, government action positively impacted cobalt prices. In late February, the DRC suspended cobalt exports for four months, forcing producers to start a cobalt until exports are permitted again. Subsequently, the government indicated that the export pan may be extended and that it may partner with Indonesia to impose export quotas to manage global cobalt supply and pricing. With the DRC accounting for over three quarters of the global cobalt production, prices significantly increased late in the quarter. As such, we did not benefit from it in Q1 financial results. However, we expect to see benefits in the second quarter with the average reference price having increased more than 35% from US$12.84 per pound in the first quarter to US$17.50 per pound in the first half of the second quarter so far. Looking ahead, while the global oversupply of nickel and cobalt remains and tariff uncertainty may pose additional challenges further government interventions could be significant catalysts for higher pricing by curtailing excess supply. Turning to Slide 5. Providing a backdrop to our operating results, I'd like to share an update on the operating environment in Cuba, which became more difficult during the quarter, escalating U.S. pressure with restrictions on travel and remittances to Cuba, combined with lower tourism has led to a decline in Cuba's access to foreign currency. Our years of experience in managing currency challenges in Cuba have helped us mitigate many of the associated risks. Our Moa joint venture generates foreign currency earnings and the motor swap agreement mitigates currency risk at Energas, but there are indirect impacts that still face from the broader economic environment in Cuba. During the first quarter, we saw lower production of mixed sulfides in part due to these negative indirect impacts. Having operated in Cuba for over 30 years, we have a successful track record of overcoming various adversities. We are currently working with our partners and the Cuban government as part of our usual course of engagement to further insulate and enhance protections to the Moa JV from the broader domestic supply chain and power disruptions stemming from the impacts of the foreign currency limitations. Now turning to operating results. As we guided last quarter, we started the year with low inventory of mixed sulfides at the refinery. Given the low inventory, we expect our finished nickel and cobalt production to be weighted towards the second half of the year. We will also start to benefit from the increase of mixed sulfide production being delivered to the refinery in the fourth quarter with a ramp-up phase of Phase 2 of the Moa JV expansion, which is now commissioning. Amid the depressed nickel price environment, we are closely managing our costs. Our net direct cash cost was 18% lower year-over-year as we maintained low mining processing and refining cost per pound reduced our third-party feed costs and benefited from higher byproduct credits. In power, the Varadero facility continues to operate in frequency control to support the Cuba National Grid. This is contributing to lower electricity production this year, but Energas continues to be fully compensated for this reduction. We also saw lower gas availability during the quarter from a legacy CUPET well. However, this was partly offset by new wells brought online during the fourth quarter of last year. Finally, Yasmin will go into more detail on financial results, but we are pleased to have successfully closed the transaction to strengthen our capital structure and extend our note maturities providing Sherritt with significant runway to navigate through the current nickel and cobalt price downturn. I'll now turn over the call to Elvin to provide more details on our first quarter operational performance.
Elvin Saruk: Thank you, Leon. Turning to Slide 7 for the results from our Metals business. As Leon mentioned, mixed sulfide production was lower primarily due to supply chain delays, maintenance to the ore thickener and lower mining equipment availability. There was another national wide power outage in Cuba, which we again partially mitigated by our plant sites, power generation, generating capacity. With the low inventory at the refinery to start the year and lower production of mixed sulfides in the quarter, finished nickel and cobalt production were lower as expected. As per our guidance, we expect production to be higher in the second half of the year, but we are continuing to see sufficient demand driving nickel sales above production volumes. Fertilizer production was slightly lower, consistent with lower nickel production but sales were strong and particularly high demand ahead of the spring planting season. Now turning to Slide 8 for NDCC, our net direct cash costs. First quarter NDCC was US$ 5.95 per pound of nickel sold, decreasing 18% year-over-year. We continue to focus on cost containment and maintain low mining, processing and refinery costs per pound during the quarter, while benefiting from higher net fertilizer and other byproduct credits. We also processed less third-party fee contributing to our lower cost performance. Now to our joint venture expansion update on Slide 9. During the quarter, we began commissioning Phase 2 at the processing plant. We are still expecting a ramp-up in the second half of the year. In anticipation of that, our Moa Joint Venture team is continuing work on removing minor processing bottlenecks. We have some incremental capital spend associated with Phase 2 remaining, and we expect that to be incurred along with our commissioning activities as all remaining spend has now been committed. This project remains on budget. We still expect to process increasing mix sulfides from the ramp-up of Phase 2 at the refinery during the fourth quarter of this year leading even to higher finished nickel and cobalt production in 2026. Slide 10 provides an update on our Power business. Our production was lower this quarter as the Varadero facility operated in frequency control to support the national grid. Energas expects Varadero will operate in frequency control throughout most of 2025, reducing shares attributable electricity production by about 150 gigawatt hours, which was factored into our guidance for Power announced at the start of the year and which Energas will be fully compensated for. In addition, there was lower gas availability due to a mechanical issue with the [indiscernible] pump in one of CUPET's legacy gas wells, which affected its ability to remove water effectively. CUPET is actively working on a solution to restore gas production from this well. Partially offsetting this is the new well brought into production during the fourth quarter of last year. We forecast higher electricity production for the remainder of the year and we maintain our production guidance. Finally, the national wide power outage in March led to some downtime at Energas' Boca and Varadero facilities, but this did not have a material impact on electricity production. Energas continues to play an important role in helping to quickly restore power and stabilize the national grid during these outages. Unit operating costs were higher during the quarter as expected, primarily due to planned maintenance as we completed a major inspection on a gas turbine and the impact of the lower electricity production from the Varadero facilities operating in frequency control and reduced gas availability for the Boca facility. With maintenance complete, we expect costs to trend lower and fall within our annual guidance of $23 to $24.50 per megawatt hour. I will now turn the call over to Yasmin for the financial results.
Yasmin Gabriel: Thanks Elvin. I'll begin with our financial performance on Slide 12. The average realized price of nickel was relatively unchanged year-over-year, but sales volumes were lower in line with nickel production, resulting in lower nickel revenue. Cobalt revenue was modestly higher as the lower average realized price was more than offset by higher sales volumes as we sold the remaining cobalt we received under the cobalt swap agreement at the end of last year. Looking ahead to next quarter, we expect to benefit from the higher average realized cobalt prices, which are currently 35% higher in the second quarter compared to Q1. Our fertilizer performance in Q1 was particularly strong with 39% higher sales volumes from strong demand and 16% higher average realized prices. Combined revenue of $125.7 million, which includes revenue from the Moa Joint Venture on a 50% basis in which more holistically reflects our performance was relatively unchanged year-over-year, as higher fertilizer revenue offset the lower revenue from nickel sales and power generation. We remain committed to cost containment and operational efficiencies. The cost optimizations implemented last year are beginning to yield benefits, positively contributing to our adjusted EBITDA of $4.4 million for the quarter, representing a significant year-over-year improvement. Net loss from continuing operations was $40.6 million. Adjusted net loss from continuing operations was $22.8 million and excludes the $15.7 million noncash loss on rehabilitation provisions as a result of updates to cost and valuation assumptions for rehabilitation and closure costs on legacy oil and gas assets in Spain. Turning now to liquidity on slide 13. We ended the quarter with $55.7 million of available liquidity in Canada. During the first quarter, key changes in liquidity included: $12.8 million from spring season fertilizer presales, $6.1 million from the sales of cobalt received under the Cobalt Swap agreement in Q4 of last year, $4.3 million is dividends from Energas, $5.9 million in payments on contractually obligated rehabilitation and closure costs related to legacy oil and gas assets in Spain, $3.1 million in payments for property, plant and equipment, and $2.6 million in transaction fees related to the debt and equity transactions. Looking ahead to the balance of 2025. Assuming current metal prices and in line with our expectations for nickel and cobalt production to be weighted toward the back half of the year, similar to last year, we anticipate distributions under the Cobalt Swap in the second half of the year and that distributions will not meet the annual minimum amount. We continue to expect higher levels of dividends in Canada from Energas this year. Last year, we received $13 million. And this year, we are expecting to receive between $25 million to $30 million. On a quarterly basis, we expect these dividends to increase from the $4.3 million we received in Q1, which was lower in part due to the planned maintenance in the quarter, which is now complete. Now turning to slide 14. In early 2024, we are proactively reviewing potential strategic opportunities and transactions to improve Sherritt's capital structure, address the second lien notes maturity in 2026 and strengthened Sherritt's overall financial position to benefit the company and all its stakeholders. We are pleased to have successfully completed transactions in April, which achieved these objectives, marking a significant milestone in our efforts to strengthen our capital structure. The debt transaction exchanged $292 million of second lien and PIK notes for $266 million of amended senior secured notes. Upon completion, certain noteholders agreed to exchange a portion of their amended senior secured notes for 99 million newly issued common shares at $0.173 per share, a premium to market prices at the time of the transaction and further reducing our debt by $17 million. As a result of these transactions, we have other watched substantive benefits that will drive significant value. We reduced our debt obligations by $43 million and eliminated the $25 million premium that was payable on our second lien notes at maturity, resulting in more than 20% reduction in debt. We extended our debt maturity date at six years to November 2031. We reduced our annual interest expense by approximately $3 million, and we eliminated the compounding impact on the PIK Notes. We expect to recognize an approximate $33 million gain on these debt and equity transactions in Q2, which represents the difference between the amortized cost of the old debt and premium on the second lien notes that was eliminated and the fair value of the new debt plus accrued interest on the PIK notes less transaction costs. With these transactions complete, we have not only addressed the previous 2026 maturity of the second lien notes, but have also established a strengthened capital structure to withstand the current lower nickel price environment and position the company for future growth and value creation. That concludes my comments, and I'll turn it back to Leon.
Leon Binedell: Thank you, Yasmin. I'll conclude on slide 16. Although the operating conditions remain challenging, we successfully delivered on several key strategic priorities to start the year. We strengthened our balance sheet, as Jason outlined, significantly reducing outstanding debt obligations and interest expense, while extending our debt maturities to over 6.5 years from now. We started commissioning our Phase 2 of our Moa JV expansion program. We expect ramp up in the second half of this year, increasing our annual production of mixed sulfide precipitate and fitting the refinery with a feed from Moa JV to maximize profitability. Leveraging our differentiated technical processing expertise, we also advanced our midstream refinery or MHP project focused on developing new refining capacity for the EV supply chain. Our focus in the near-term on commercial and financing arrangements for this project. Completion of these milestones will enable us to deliver near-term growth and substantial long-term value creation. Looking ahead for this year, we see near-term benefit from the higher cobalt prices and our expectation for stronger production and operating results in the second half of the year. I'd also like to conclude and thank our employees for their dedication, and they're doing an amazing job on a very challenging environment. And operator, I'd like now to open the call for questions.
Operator:
Operator: There are no questions at this time. I will now turn the call over to Tom for closing remarks.
Tom Halton: All right. Thank you, operator. If anyone has any questions, please feel free to reach out, and thank you for joining us today and your continued support.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.